Denise Reyes: Good morning, everyone, and welcome to Nemak's Fourth Quarter 2025 Earnings Webcast. I am Denise Reyes, Nemak's Investor Relations Officer, and I am pleased to host today's call along with Armando Tamez, Nemak's CEO; and Alberto Sada, CFO, who are here this morning to discuss the company's business performance and answer any questions that you may have. As a reminder, today's event is being recorded and will be available on the company's Investor Relations website. Armando Tamez, our CEO, will lead off today's call by providing an overview of business and financial highlights for 2025 and the company's outlook for 2026. Alberto Sada, our CFO, will then discuss our financial results in more detail. Afterwards, we will open for a Q&A session, which participants may join live or submit written questions using the Q&A function. Before we get started, let me remind you that information discussed on today's call may include forward-looking statements regarding the company's future financial performance and prospects, which are subject to risks and uncertainties. Actual results may differ materially, and the company cautions you not to place undue reliance on these forward-looking statements. Nemak undertakes no obligation to publicly update or revise any forward-looking statements, whether because of new information, future events or otherwise. I will now turn the call over to Armando Tamez.
Armando Tamez Martínez: Thank you, Denise. Hello, everyone, and welcome to Nemak's Fourth Quarter 2025 Earnings Webcast. I will begin with an overview of our 2025 results and strategy execution before moving on to our 2026 guidance. Throughout 2025, Nemak remained focused on strategic and financial objectives, demonstrating resilience amid an increasingly complex trade environment. Supported by a solid commercial position, the company successfully navigated shifting external conditions while continuing to advance financial priorities. Given the slower pace of electrification, Nemak leveraged opportunities in the ICE powertrain segment while also maintaining a steady progress in the e-mobility, structure and chassis application segment, ensuring a balanced and adaptable market position. Full year EBITDA was within our guidance range at $591 million, reflecting the company's continued focus on operational discipline and profitability. The top line remained stable at $4.9 billion, supported by resilient customer demand despite the changes in the global trade landscape. Continued efforts to enhance operational efficiency contribute to generating positive cash flow and reducing our debt by $130 million year-over-year. A key highlight of 2025 was the announcement of the agreement to acquire Georg Fischer Casting Solutions. This acquisition is a milestone and represents a significant step forward in strengthening Nemak's long-term strategic position. The business brings highly complementary capabilities in lightweighting, enhances our skills in high-pressure die casting and expands our offering of complex aluminum and magnesium components for the e-mobility structure and chassis application segment. In addition, the acquisition broadens our global footprint and customer reach, particularly by providing meaningful access to leading Chinese manufacturers. Building on this strategic step, in February 2026, the acquisition received full regulatory approval and closed successfully. I would like to extend a warm welcome to all GF Casting Solutions employees joining Nemak. We're excited to bring together two highly talented and complementary teams. With the transaction now completed, we are fully focused on executing a disciplined integration plan, which is essential to realizing the full value of this acquisition. Effective integration will allow us to align operational processes, capture cost synergies, accelerate technology sharing and ensure continuity and service excellence for our global customers. By combining the strengths of the two organizations, we are positioned to unlock meaningful operational, commercial and innovation opportunities in the years ahead. Another important remark for the year is the successful ramp-up of production at our new facility in the Czech Republic, dedicated to e-mobility components. This plant incorporates advanced joining and assembly technologies and is now manufacturing highly complex engineering components that support our customers' electrification programs. This achievement underscores our ability to adapt to evolving market needs, strengthen our global footprint and expand our advanced manufacturing capabilities. In 2025, we secured $440 million in annual revenue from awarded business across our global operations, of which 85% corresponded to ICE powertrain programs and 15% to e-mobility, Structure & Chassis applications. The significant amount of ICE business awarded underscores the extended life cycle of this segment while still capturing opportunities in e-mobility and Structure & Chassis components. Importantly, most of these programs will utilize existing assets, reinforcing our disciplined approach to capital allocation and helping drive a meaningful reduction in CapEx. In parallel, we are pursuing a robust pipeline of approximately $1.9 billion in new business, positioning ourselves to capture future growth opportunities across our key segments. We remain firmly committed to delivering competitive and cost-effective solutions to our customers, reinforcing our focus on operational excellence and long-term value creation. Moving on to innovation. Throughout the year, we continued to build on our technological capabilities, advancing key initiatives to enhance process efficiency and expand our technical toolkit. Across our operations, we made meaningful progress in improving the high-pressure die casting process, implementing efficiency and cost optimization measures and scaling these improvements across additional facilities to broaden their impact. We also enhanced our real-time job floor information system, adding an AI-powered layer designed to transform complex operation data into actionable insights. This reflects our ongoing commitment to leverage advanced technologies to strengthen process control and improve our competitive position. Moving on to sustainability. I am pleased to share that Nemak achieved an A- rating from the Carbon Disclosure Project for the second consecutive year, once again, placing us within the leadership band, which is the highest tier of CDP's scoring system. This recognition reflects the company's strong environmental governance, our comprehensive science-based actions to reduce emissions and our commitment to transparent climate disclosure. We are proud to see our efforts consistently recognized at this level. Once again, we pledge our long-term dedication to responsible operations and climate stewardship. In addition to progress on climate initiatives, Nemak was again recognized for its commitment to people and workplace excellence, earning top employer certification in Brazil, Germany, Mexico, Poland and the United States. Notably, Nemak ranked in the top 5 certified companies in Brazil. This distinction reflects the strength of our people-focused practices, including talent development, organizational culture and employee well-being. Achievements such as these underscore the importance we place on creating an environment in which our teams can grow, innovate and contribute to long-term value creation. We recognize the key role our employees play in advancing the company's strategy. And despite our high marks, we continually seek to improve. This concludes my initial remarks. Thank you for your attention. I will now hand the call over to Alberto.
Alberto Sada Medina: Thank you, Armando, and good morning, everyone. I will begin with an overview of Nemak's business performance for the full year and fourth quarter of 2025, followed by a summary of industry developments and financial results. During 2025, we continue to prioritize free cash flow generation through sustainable margin improvements and disciplined capital allocation. On the results front, both the fourth quarter and the full year 2025 had a high comparison base versus the same periods of last year due to customers' onetime compensation. During the year, we saw stable industry performance across our main markets as global light vehicle sales increased 3% to 91.7 million vehicles, while light vehicle production increased 4% to 92.9 million units. From a regional perspective, during the fourth quarter, the seasonally adjusted annual rate for light vehicle sales in the U.S. was 15.7 million units, 5% lower than last year, mainly due to the rollback of the EV tax credits. For the full year 2025, this metric increased 2% to 16.4 million units as consumers continued showing resilience amidst affordability concerns, partially offset by OEM incentives. Light vehicle production in North America during the fourth quarter decreased 2% year-over-year to 3.6 million units amid cautious production schedules and certain supply chain disruptions with inventories stable at 46 days of sales. For the full year 2025, production was 15.2 million units, 1% below the 15.5 million units in 2024 due to the same factors. In Europe, light vehicle seasonally adjusted annualized sales increased 7% in the fourth quarter to 17.4 million units due mainly to increased imports and higher sales of entry-level vehicles, supported by stable macroeconomic conditions. For the full year, light vehicle sales were 16.4 million units, up 2% year-over-year, driven by similar dynamics. During the fourth quarter, light vehicle production in the region decreased 2% year-over-year to 3.8 million units, due mainly to reduced export demand as well as supply chain constraints, particularly microchip shortages. For the full year 2025, light vehicle production totaled 15.4 million units, 2% lower than last year due to the same factors. In China, the seasonally adjusted annual rate of light vehicle sales declined 4% year-over-year in the fourth quarter to 27.2 million units, due mainly to the expiration of local government incentives. For the full year, light vehicle sales in China were 27.1 million units, 6% up compared to the previous year. This is attributed to intense competition among local OEMs and government trading incentives as well as export activity. In terms of light vehicle production, China posted 1% and 10% year-over-year increases for the fourth quarter and full year 2025, respectively, amounting to 9.6 million and 32.7 million units, driven by domestic and export demand. In Brazil, the seasonally adjusted annual rate of light vehicle sales for the fourth quarter and full year 2025 was 2.9 million and 2.6 million units, respectively, reflecting a steady growth in the quarter and a 3% year-over-year increase for 2025 on resilient consumer behavior. South America's light vehicle production experienced a 4% decrease year-over-year in the fourth quarter of '25, amounting to 0.8 million units due to calendar effects. On a full year basis, light vehicle production in the region increased 2% year-over-year to 3.0 million units due mainly to stable local demand and higher exports. Turning to our financials. Volume increased 2% and decreased 3% compared to the fourth quarter and full year 2024, totaling 9.2 million and 38.4 million equivalent units, respectively. This was due mainly to customer inventory management strategies due to geopolitical pressures and the declining e-mobility adoption rates among our customers during the year. Despite this, full year volume exceeded the high end of our guidance of 37 million units. Revenue in the fourth quarter of 2025 totaled $1.2 billion, 1% higher than during the same period of 2024 due to higher volume and higher aluminum prices. For the full year, revenue was $4.9 billion, stable year-over-year. Lower volume was partially offset by higher aluminum prices, the carryover effect from repricing achieved in previous years as well as favorable effect from the euro appreciation. During 2025, we continue to navigate alongside our customers, the transition between ICE and electric powertrains, relying in our talent, footprint and technology, which enable us to deliver solutions independently of the propulsion system of the vehicle. Our electric mobility, structure and chassis applications segment accounted for 9% of our total revenue, highlighting our ability to adapt across different electrification scenarios. EBITDA for the fourth quarter and full year 2025 decreased 25% and 7% year-over-year, totaling $117 million and $591 million, respectively. This reduction was related to extraordinary launching expenses and currency effects in North America in addition to high comparison effect from commercial negotiations recorded in the fourth quarter of 2024. In turn, EBITDA per equivalent unit for the fourth quarter and full year were $12.8 and $15.4, respectively, down 26% and 4% year-over-year, respectively. During the fourth quarter, we recorded impairments and reorganization expenses for $85 million related to footprint optimization initiatives. This included the write-off of assets in our facilities in Monclova, Mexico and most in the Czech Republic, where we are ramping down and ceasing operations and we relocate production to nearby facilities, respectively. This amount compares against $83 million in 2024. All this said, during the fourth quarter, the company recorded a $56 million operating loss compared to $39 million loss in the same period of last year related to the aforementioned impairments and reorganization expenses. For the full year, operating income was $97 million, which compares to $145 million in 2024 due to the same factors. During the quarter, Nemak reported a net loss of $100 million compared to a $51 million loss in the same period of the previous year. Net result for the year was a $116 million loss compared to a $25 million profit in 2024, mainly due to the combination of the aforementioned impairments and foreign exchange losses mainly related to the effect on our liabilities of the appreciation of the euro against the dollar. Excluding these noncash effects of impairments and foreign exchange losses, the net result for the full year would have been a $75 million profit. Turning to our financial position. Our net debt at the end of the quarter was $1.4 billion, a sequential improvement of $190 million and 9% lower year-over-year. Cash flow generation during the quarter was strong, driven by extraordinary favorable seasonal net working capital dynamics. Our cash balance as of the end of December was $516 million. Our net debt-to-EBITDA ratio was 2.4x, stable versus 2.4x in the previous year. In turn, the interest coverage ratio improved to 5.5x from 4.9x at the end of the same period of last year. Capital expenditures in the fourth quarter and full year 2025 were $99 million and $306 million, respectively, a 9% and 21% reduction compared to the same period of 2024. We remain committed to streamlining our capital investments. Moving to our regional results during the quarter. In North America, revenues declined 1% year-over-year to $653 million due to high comparison base associated with onetime commercial negotiations in the fourth quarter of '24. EBITDA was $43 million compared to $121 million in the same quarter of last year. The year-over-year reduction reflects extraordinary operating expenses of approximately $30 million in the fourth quarter of 2025, primarily related to production ramp-ups and the appreciation of the Mexican peso, combined with the high comparison base from onetime commercial negotiations recorded in the fourth quarter of 2024. In Europe, revenue increased 5% year-over-year to $410 million despite lower volume due to the translation effect of the appreciation of the euro. In turn, EBITDA in this region was $55 million compared to $19 million in the prior year, reflecting improved operating efficiencies and a favorable currency translation effect. Revenue in the rest of the world was $160 million, up 2% compared to the fourth quarter of '24, due mainly to favorable volume and product mix. EBITDA in this region increased to $20 million, benefiting from the same factors. Related to capital allocation, during 2025, we repurchased around 68 million shares. And by the end of December of 2025, the shares held in treasury represents approximately 6.8% of our total outstanding shares. We will propose the cancellation of these shares in an extraordinary shareholders' meeting, whose date we will announce in due time. As a reminder, our Annual General Meeting will take place on Wednesday, March 4. We kindly invite you as shareholders and to ensure your shares are represented. For any questions or inquiries, please contact our Investor Relations department. As recently announced, we successfully closed the acquisition of Georg Fischer Casting Solutions automotive business for an enterprise value of $336 million on a cash-free and debt-free basis. The upfront closing payment amounted to $216 million funded with existing cash. This reflects the agreed base purchase price, the inclusion of $113 million of cash at closing and customary adjustments, including the assumption of $44 million of financial liabilities. The remaining consideration consists of holdbacks and a portion of vendor financing to be paid over a 5-year term. We are very pleased with the successful completion of this transaction, which strengthens our strategic positioning, expands our technological capabilities and enhances our overall business profile. We will start consolidating Georg Fischer Casting Solutions operations effective February 1, 2026. As our product portfolio has significantly evolved over the years from primarily cylinder heads in the 1990s to a broader range of products, including engine blocks, transmission components, structural parts, battery housing assemblies and now even additional materials such as magnesium and other alloys through the integration of Georg Fischer Casting Solutions, the relevance and comparability of our historical equivalent volume metric has diminished. Given the increasing diversity of products and materials, calculating a meaningful head equivalent measure has become less representative of our business. Accordingly, starting this year, we will discontinue reporting equivalent volume and instead provide further visibility into our revenue by segment. Our financial guidance will focus on revenue, EBITDA and capital expenditures, which we believe better reflect the performance and strategic direction of the company. In summary, during 2025, we continued executing our disciplined financial agenda, reducing net debt, streamlining capital investments and strengthening free cash flow generation. With the integration of Georg Fischer Casting Solutions, we are reinforcing our competitive position and advancing our ability to create sustainable long-term value for our stakeholders. This concludes my remarks. I will now turn the call over to Armando.
Armando Tamez Martínez: Thank you, Alberto. I will now provide an update on our outlook for this year. We expect to see a resilient industry environment with stable volumes across our main regions. Trade dynamics will continue to play a relevant role throughout the year; however, we are well prepared to face these developments as we will continue to rely on our solid commercial foundation, prudent financial decisions and close communication and collaboration with our long-standing customers. Effective consolidation of GF Casting Solutions began in February, and it is incorporated accordingly in our full year guidance. This integration strengthens our portfolio and further positions us to meet customer needs across regions. Nemak will maintain a selective and strategically focused investment approach, consistent with our capital allocation priorities. In parallel, the incorporation of GF Casting Solutions will require additional capital to advance the completion of a new manufacturing facility in the United States. Given these considerations, I would like to announce our guidance range for 2026. Revenue in the range of $5.3 billion to $5.5 billion, EBITDA in the range of $630 million to $650 million and CapEx ranging from $385 million to $395 million. As we close, I would like to briefly address the leadership transition announced earlier this year. After 42 years at Nemak, including 13 years serving as CEO, I will be concluding my tenure in this role by the end of March. This planned succession reflects our commitment to long-term value creation and strategic execution, and I am confident that Nemak is well positioned for the road ahead. The Board has appointed Herve Boyer as CEO effective April 1, 2026. Herve brings extensive global experience in the automotive industry, and I am certain he will provide strong leadership as Nemak enters its next chapter. I want to express my appreciation to our entire team, customers, suppliers, shareholders, financial analysts and all the stakeholders for the trust and partnership throughout my tenure. It has been a privilege to work together to advance Nemak's strategic priorities and strengthen our position in the industry. My passion for the automotive industry remains strong, and I look forward to watching Nemak thrive. With that, we conclude our presentation and would now like to turn the call over to Denise to open the Q&A session.
Denise Reyes: Thank you, Armando. We are now ready to move on to the Q&A portion of the event. [Operator Instructions] The first question is from Alfonso Salazar from Scotiabank.
Alfonso Salazar: Armando, first of all, congratulations for all these years in Nemak. We will be missed without any question, but a great job in very challenging times that have apparently will continue. The first question that I have, I have 7 questions. I will not use my time with that many. I will have only a few. The first one is, if I understand correctly, you mentioned that you will not report volumes anymore. So this is something that -- is this correct? Because definitely, we need to have a metric on volume going forward to understand what's going on in the company. So I just want to clarify that point. The second is if you can provide some color on what happened with the working capital in 2025 was very strong. So I just want to understand what drove that. Apparently, part of that was working capital. And what is your expectations for the first half of the year, maybe? And finally, any comment on the [ USMCA ] renegotiation outlook? This is very important, as you know, in July, we have to come up to see if there is any conclusion of this process. It's going to start. But what is your view on how this could drive the North American business unit of Nemak if there is no -- especially if there is no agreement. And with that, I will stop for now my questions.
Armando Tamez Martínez: Thank you, Alfonso, for your kind words. Related to volumes, one of the things, and this has to do a lot with the recent acquisition of GF Casting Solutions. As we have mentioned before, the company -- the acquired company is producing a lot of different components that are, for instance, even in different materials, including aluminum, magnesium and iron. And it was very, very difficult to homologate to the current, let's say, parts that we are making. So for that reason, we are deciding to only report volumes -- I'm sorry, revenues, EBITDA and CapEx going forward. We tried several exercises, but it was almost impossible to really homologate what we are doing today.
Alberto Sada Medina: Yes. And Alfonso, this is Alberto. Related to your second question on working capital, certainly, we had a very favorable closing of the year on the working capital accounts. And as you know, I mean, as a company, we always are looking for ways how to optimize our cash needs. In this particular end of the quarter, we had extraordinary benefits on the working capital side that would revert most likely on the first quarter. So around the entire, let's say, turnaround of working capital, which normally on a seasonal basis is lower in the end of the year, about $60 million would be most likely reversed on the first quarter of 2026. So it's -- part of it is temporary and other part is part of our push towards improving improvements in working capital. And then related to your third question on USMCA, we'll have to see how everything evolves. I think it's also important to highlight that our products are all compliant. Everything that we do in Mexico that gets exported to the U.S. either directly or indirectly is fully compliant with USMCA rules. So I mean, so long as everything stays the same, we shouldn't see any impact in the development of our business in North America. Yes, we're close to the administration to make sure that everything is correctly incorporated into the negotiations.
Alfonso Salazar: That's very clear. But yes, the volume thing, we need to talk later about it because we really need to have some metric to work with.
Alberto Sada Medina: For sure, Alfonso, but as Armando highlighted, it becomes very difficult to give a head equivalent measure. In the past, one or two products was fine, but now with multiple products with multiple value adds the weight relationship doesn't have any more a correlation with the revenue. But we'll give a little bit more color on different segments on the revenue side. So I hope that, that can help better on your models going forward.
Denise Reyes: The next question is Jonathan Koutras from JPMorgan.
Jonathan Koutras: I also have three questions on my side. So please bear with me. The first one of the $85 million in charges in the quarter, right, if you could walk us through how much of this is recurring and if you expect these markdowns to continue in the coming quarters or years. This has been impacting results in the last 3 years or so, as you know. So just wanted to understand where we are in this process of reassessing assets. And the second question, on gross margins. Fourth quarter is historically softer given seasonality and there was no commercial negotiations or tailwinds in this quarter. So should we assume the last two quarters of gross margin at around 9% is somewhat the new normal for Nemak post these one-offs? Or do you see recovering back to the 11% level in the next quarters or so? And if that is the case, how come? And the third one -- last one as well on CapEx full year came in slightly above the guidance range. So if you could shed some light on this as well, please?
Alberto Sada Medina: Yes. Thanks, Jonathan, for the questions. Related to the first one on the impairments and extraordinary charges that we registered this year, these are fully aligned with the need to realign and reallocate capacity where we have -- volumes where we have capacity. So based on that, we had to take certain footprint decisions to optimize our operation. And therefore, we had to write off a few of those capital assets on our books. We do that all the time. We had a similar figure last year where we had to write off certain of our EV assets. In this case, there was other ones. And yes, going forward, as of now, I mean, we see smaller figures, but we will have obviously to assess how everything develops. And yes, based on how some of the volumes move on, we will see if there is a need to do something else on the right side or not. But for now, I think most of it was done for now. Related to your second question on margins, yes, as you correctly point out, last year, particularly in the fourth quarter, it was heavily influenced by one-offs commercial claims that we closed with certain customers. So meaning 2024. In 2025, there was less activity on that front as of the closing. So at the end, the EBITDA margins that we're expecting should fall between the 12% range going forward on average based on revenue. And that essentially takes care, yes, all the combined effects that we see going forward. On one side, we saw that there were extraordinary expenses this last quarter related to special costs that we had in our operations in North America. But also there are things that may have both positive and negative effects related to how the evolution of the exchange rate happens as well as on the mix effects. So I think on an EBITDA basis, around between 11.5% to 12.5% would be what we would expect for the year. And last on the CapEx guidance. On the CapEx side, it is certainly calendarization effect. It's hard really to put it down to the last million. I think at the end, we closed pretty much within the guidance, plus/minus a few millions. So if we are a little bit higher, a little bit lower, most of it has to do with calendarization of the CapEx.
Denise Reyes: We will proceed with the next question from Andres Cardona from Citi.
Andres Cardona: Regarding the EBITDA CapEx, could you give us a sense of how much of the EBITDA is coming from the recently closed acquisition, so we can have also a picture of the legacy business.
Alberto Sada Medina: So your question, Andres, is on the CapEx for guidance?
Andres Cardona: No, EBITDA, the EBITDA, like how much of the EBITDA is coming from the new business and how much is coming from the legacy business?
Alberto Sada Medina: Well, yes, I mean, we will certainly give you a little bit more color around how everything evolves in 2026. As indicated, it's both the EBITDA from Nemak and 11 months of Georg Fischer. So at this point, we're not breaking down the EBITDA on, let's say, on the both effects. We'll certainly be sharing a little bit more color about that on a regional basis as we move along the year. But you can easily make probably a little bit of calculations based on what we performed last year, perhaps a little bit less of associated claims and then everything on top of the number that we're giving is associated with Georg Fischer.
Denise Reyes: The next question is from Alejandro Azar from GBM.
Alejandro Azar Wabi: Alberto, Armando, before my questions, just to add my congratulations to Armando on an outstanding 42-year run at the company, wishing you the best in your next ventures, Armando. Now switching to my questions, and I have 3. The first is a follow-up on working capital, Alberto. How much of the benefit is structural and sustainable versus timing related and potentially reversing in 2026? That would be the first one. The second one is on GF Casting Solutions integration. If in your guidance, you are accounting for synergies you already noticed. And if not, if you can share with us the top 2, 3 levers that we should see? And how should we expect synergies to show up in EBITDA maybe in 2026 or perhaps 2027? And my last one is on AI and automation. If you can share a bit more color on where are you most advanced on these topics across your footprint? And if you are seeing meaningful productivity or cost benefits yet? Any examples would be really helpful, guys.
Alberto Sada Medina: I'll take the first question, Alex, related to working capital. As we have seen in previous years, there is seasonality on how working capital moves up and down. And what we see normally at the end of the year is the reflection of, let's say, reduced activity at our customer plants as they stop for holidays and they do scheduled maintenance and the like. So a portion of that seasonality picks up again in the first quarter. So we will see a reversal as we have seen in previous years. And on top of that, we will see about $60 million of additional, let's say, of those extraordinary elements that we saw in December reversing most likely in the first quarter. So on a, let's say, seasonal basis, we see a recovery of working capital. And then part of that -- or let's say, on top of that, we will see a little bit of the one-offs that we saw in December coming back.
Alejandro Azar Wabi: So for the full 2026, you expect to require additional amounts of working capital?
Alberto Sada Medina: For the full ' 26, at least the $60 million that we saw on an extraordinary basis, unless there is any extraordinary happening at the end of -- or, let's say, during the year, we will see, yes, at least $60 million, let's say, benefit that we saw this year.
Armando Tamez Martínez: Yes. Thank you, Alex, for your nice words. I appreciate it. Related to the GF integration and synergies, this is a very important point for us, Alex. We retained a firm that has been helping us in the past, in the major acquisitions that we have made to really focus in a very dedicated team and plan to get the best integration possible. We are true believers that integration of acquired companies is key. We already, for instance, contracted this or hired this external adviser with a lot of experience not only in the industry, but also with Nemak. And we already started actually since last year, to plan ahead what were the main, for instance, potential synergies. We visited all the GF Casting Solutions plants that they have in Europe as well as in China and the facility that is under construction and planning to be launched this summer in the U.S. And certainly, that has a cost, but also we are expecting in the midterm to reach synergies in the range of about $30 million to $40 million. We are fully committed. The company is fully committed to achieve those synergies. Of course, it will take some time. The main drivers for those synergies are related to sharing best practice and improving productivity, also best practices and sharing on the commercial front, how we can, for instance, get better pricing with some customers as well as better contracts as well as CapEx avoidance, which I think is very important in this industry, especially to, again, better use existing capacity. So those are some of the areas, Alex, that we are targeting. Of course, there will be some additional synergies. And if we find any redundancies, certainly, we would try to become leaner. So you will see, again, in the midterm, or expected, for instance, synergies, as I indicated, in the range of $30 million to $40 million that will be added value, in addition to getting, for instance, a relationship with very important Chinese OEMs and improving also our market position. So those are -- related to your last question in the AI, and this is an area that Nemak has devoted a lot of technical resources, and we're making very good inroads and very solid progress in terms of using, for instance, AI. We have invested heavily over the last probably 14 years in our company in installing a monitoring system in which we have a real-time data that it is available. We can, for instance, get every single facility, every single product line with real-time information of the products that we're making. That has been helping us a lot because we have a lot of different parameters that we need to control. And certainly, that has helped us in terms of getting better, for instance, quality, getting better productivity and so on. And with the help of the artificial intelligence, now what we are doing is in some of the plants, we are using these techniques and facilities to help us predict potential issues that we may have in the operations. And that has been already deployed in some of our facilities in Europe as well as North America. And certainly, we are planning to install similar approach in our facilities in China as well as the new facilities that we are acquiring from Georg Fischer. So those are some of the areas that we are taking advantage. This is on the operational side. In addition to that, of course, on the administrative side, we are using AI to help us again get some of the operations that we are normally doing in a much faster way. And certainly, that is helping us to reduce cost and optimize resources.
Alejandro Azar Wabi: If I may go back, Armando, the $30 million to $40 million in synergies, do you think it's better to think that as free cash flow given you talked about CapEx?
Armando Tamez Martínez: I think it's a combination of both CapEx avoidance as well as, for instance, also improving our productivity, improving our cost position, improve our commercial front. So it will be a combination of both increasing EBITDA in the midterm as well as reducing CapEx.
Denise Reyes: Thank you, Alex, and thank you, Armando. We will move on to the written questions. We have one question from [ Pablo Dominguez from ION Group. ] The question reads, how -- does the 2026 CapEx guidance include the upfront payment of the GF acquisition? Also, does it include the additional CapEx needed for GF U.S. plant under construction? And if not, how much CapEx will the plant require during 2026?
Alberto Sada Medina: Yes. The CapEx guidance for 2026, it's only associated with the capital expenditures of both the Nemak legacy business and Georg Fischer. So it includes the investments that Georg Fischer has for the new -- or let's say, the old Georg Fischer has for the new facility in the U.S. in Augusta. And the payment for the acquisition is not included in the CapEx guidance.
Denise Reyes: Thank you, Alberto. We received another live question from [ Isaac Gonzalez from GBM. ]
Unknown Analyst: I have a last question. I'd like to ask you by taking out volumes on the revenue, are you willing to open by segment or by EV/SC and ICE? Is it possible?
Alberto Sada Medina: Yes, [ Isaac, ] thanks for the question. And as I highlighted before, I think in order for everyone to get a little bit more granularity on how the business develops, we'll share the revenue on a per segment basis. So I think that will help see how the business is evolving. With the cooperation of Georg Fischer, that segment grows significantly. So you'll start seeing some of the -- yes, how the revenue develops both on the legacy as well as on the new segments.
Denise Reyes: The next question is from Alfonso Salazar from Scotiabank.
Alfonso Salazar: Yes. Just a follow-up. Well, one, this is more than a question, a request. Years ago, Nemak had a very interesting guidance on how the breakdown of future sales between legacy business ICE and EV markets will unfold over time. It was very helpful. I mean it was very important for us to understand. In the end, the situation -- the market situation was very different to what you were expecting, what we all were expecting. But it would be a great way to understand, especially with the integration of GF Casting to see or to have some sense on where is Nemak going from here and what are your expectations regarding future growth, both in the legacy and new business lines. So that is more than a question -- a request that would be very interesting to see. The second -- the question is only regarding dividends. We see buybacks, but any comments on when dividends would be back?
Armando Tamez Martínez: Thanks for the question, Alfonso. I think in the past, certainly, we were informing on a quarterly basis, for instance, how our EV and structural, components portfolio was growing. I think we will need to recalculate based on certain volume reductions that we have seen in different regions of the world. As I indicated, we are seeing a significant higher appetite in the industry overall for ICEs. So I think we will need to recalculate and also add I think 80% of revenues that are coming with the acquisition of GF are for the new products or the EV and structural components. So only 20% is in the powertrain. So I think the team, certainly, we will be able to recalculate and provide certain guidance on the two main components that the company is making. So certainly, we will share that.
Alfonso Salazar: That will be fantastic, really helpful. And any comment on the dividend?
Armando Tamez Martínez: Yes. I think the company certainly before the pandemic was giving a substantial amount of money in terms of dividends. Now I think the entire Board and the management team have been a little bit more prudent in terms of, again, first, looking how we can reduce our leverage. And then, of course, once the company is in a more reasonable leverage, which is below 2x net debt divided by EBITDA, I think the company will be in a position. And certainly, in our projections, we are looking that the company will be able to generate enough free cash flow to reduce our debt as well as pay dividends, but not this year.
Denise Reyes: The next question is from [ Hinden Barredo ] from PGIM Group.
Unknown Analyst: Just two quick ones for me. Can you remind us what the -- how much the closing payment is for the GF acquisition? And also, are you planning on issuing possibly new debt for the new manufacturing plant? Or are you just thinking about generating that with internal cash flows?
Alberto Sada Medina: Yes, just to remind us, it was highlighted before, the payment that we did for Georg Fischer was $216 million, a little bit higher than what we had said before because we acquired the company with cash on their balance sheet and acquired a little bit of loans that they had on their balance sheet. And then on your second question, can you just repeat that, please?
Unknown Analyst: And the second question is for the new manufacturing plant in the U.S., are you planning on maybe issuing new debt for that? Or are you just going to fund that with internal cash...
Alberto Sada Medina: Yes. No, good question. With the CapEx that we have on our guidance, we should be able to cover that with our own cash and generation of the company. So no, we will not issue any substantial debt other than just maybe some liability management here and there.
Denise Reyes: We will move on to another written question that we have from [indiscernible]. Hello, everyone. What is the expected free cash flow in 2026? And with a market value of less than $600 million, are you expecting to ramp up on buybacks?
Alberto Sada Medina: Yes. Well, thanks for the question, Diego. We don't give any guidance on the free cash flow for the year. We expect it obviously to be positive. And for that reason, we'll continue with our share buyback in the same way that we did in 2025. We'll present that on our next general assembly for approval, but it will be consistent with what we have done in the past.
Denise Reyes: Thank you, Alberto. There are no further questions at this time. And with that, we conclude today's event. I would just like to take this opportunity to thank everyone for participating. Please feel free to contact us if you have any follow-up questions or comments. This does conclude today's earnings webcast. Have a good day.